Operator: Good day, ladies and gentlemen, and welcome to the Baker Hughes Company First Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Jud Bailey, Vice President of Investor Relations. Sir, you may begin.
Judson Bailey: Thank you. Good morning, everyone, and welcome to the Baker Hughes first quarter 2020 earnings conference call. Here with me are our Chairman and CEO, Lorenzo Simonelli; and our CFO, Brian Worrell. The earnings release we issued earlier today can be found on our website at bakerhughes.com. As a reminder, during the course of this conference call, we will provide forward-looking statements. These statements are not guarantees of future performance and involve a number of risk and assumptions. Please review our SEC filings and website for a discussion of some of the factors that could cause actual results to differ materially. As you know, reconciliations of operating income and other non-GAAP to GAAP measures can be found in our earnings release. With that, I will turn the call over to Lorenzo.
Lorenzo Simonelli: Thank you, Jud. Good morning, everyone, and thanks for joining us. The first quarter of 2020 was challenging for Baker Hughes and the rest of the industry due to the turmoil and economic fallout created from the Covid-19 pandemic, as well as the significant declines we saw in oil and gas prices.  Even with these ongoing disruptions, we produced solid results in our TPS and OFS businesses during the quarter and generated over $150 million in free cash flow despite typical seasonal headwinds.  Overall, I am extremely proud of our team for the level of focus and perseverance through an extraordinary set of circumstances. The strength of our company and diversity of our product portfolio is most apparent in times like these.  From the execution of our HSE operations and supply chain teams in the phase of a crisis to the continued emphasis on maintaining our balance sheet strength and the strong backlog of our works in our TPS segment.  Thank you, Hughes. This uniquely positions to navigate the challenges we face as an industry. Since we last spoke on our fourth quarter earnings call in late January, it’s an understatement to say that the macro environment has changed rapidly. The sudden demand shocked the global GDP from Covid-19 combined with the rising global oil supply drove a 67% decline in oil prices during the first quarter.  Looking forward, the outlook for oil supply and demand appears equally uncertain. On the demand side, U.S. GDP is forecasted to decline by 40% or more in the second quarter, while global GDP is expected to contract meaningfully for both the second quarter and the full year.  This economic shock is estimated to negatively impact global oil demand by 20 million barrels to 30 million barrels per day in the second quarter and by 9 million barrels to 10 million barrels per day for 2020 as a whole.  Under the supply side, recent events have proven even more dynamic. We have initial indications in March of a likely increase in production from some of the world’s largest producers during the second and third quarters.  There are now signs that the dramatic collapse in oil demand and the quickly growing threat to global storage capacity could prompt a quicker supply response with production shut-ins in the United States potentially complementing production cuts that were agreed to by the OPEC Plus countries last week. 
.: Longer term, we remain positive on the medium to long-term outlook for natural gas and the LNG prices as well as LNG’s role as a transition fuel and as a destination fuel. Considering these factors, 2020 will likely continue to be a very difficult year for the energy sector due to the magnitude of near-term oil demand degradation regardless of the outcome on the supply side in the coming months.  Looking into 2021, the outlook remains unclear and it will largely be driven by the pace of economic recovery from the Covid-19 pandemic and the supply response that ultimately materializes. As a result of this uncertain market, we at Baker Hughes are taking multiple steps to prepare for what is likely to be a sharp reduction in activity levels and delays to project FID. For our OFS segment, we now believe that North America drilling and completion spend is likely to contract in 2020 by at least 50% versus 2019. This view is based on our conversations with customers, the waiver recently revised E&P budget announcements and our own expectations that private operators are likely to act in a similar or more severe fashion than public E&Ps. The higher percentage of production-related businesses in our North American portfolio typically acts as a buffer to the more volatile drilling and completion-related product lines. However, we would caution that in the current environment, we may not see as much resilience as operators look to conserve cash.  We believe this could impact sales of ESPs and production chemicals as customers shutting wells and lower 48 production likely declines over the next 12 to 18 months.  Internationally, we expect that the combination of lower oil prices and the impacts from Covid-19 pandemic to contribute to a double-digit decline in spending in 2020 versus 2019. Regionally, we expect Latin America and Sub-Saharan Africa to see the sharpest near-time declines followed by the North Sea.  In the Middle East we expect the combination of ongoing projects and the emerging natural gas focus could make spending modestly more resilient. On a longer-term basis, we believe that a key consideration at the upper end of this crisis will be the role of North American shale versus other low-cost producers in meeting global demand.  While it’s still too early to predict, we believe it is prudent to contemplate a shift in this balance over the next few years relative to what we have witnessed over the last decade.  For Digital Solutions, which is the other short cycle business in our portfolio, we expect revenue and margins to remain on the significant pressure in the near-term before normalizing in the second half of 2020 assuming improving economic activity. As a reminder, we have physically framed DS as a diversified GDP plus business with exposure across a broad number of end-markets from oil and gas to power and other industrial markets.  Given its presence in North America, Europe and Asia Pacific, and its exposure to end-markets like aerospace and automotive, we expect that orders and revenue for DS will likely be meaningfully impacted by global GDP declines, as well as oil and gas trends.  For the long cycle businesses in our portfolio, which are primarily driven by LNG and offshore development, we expect that the combination of constrained customer cash flow and economic uncertainty will likely delay a number of projects.  In our OFE segment, we expect to see industry subsea tree orders around a 100 trees or fewer versus the last two years of approximately 300 trees ordered annually.  For TPS, we expect the uncertain environment to result in fewer LNG FIDs in 2020 as operators delayed sanctioning decisions in order to better assess the economic and commodity price outlook. We expect to see a similar dynamic for the onshore/offshore production segment within TPS with only a few large-scale offshore projects likely to move forward this year.  In order to navigate this uncertain environment that will undoubtedly lead to lower activity levels, we have taken decisive actions in our efforts to cut cost, accelerate structural changes and deploy technology and optimize processes that can lower costs for our customers.  We have cut our expectations for capital expenditures by over 20% compared to our prior estimate and have also begun to execute on a restructuring plan that we expect to driver around $700 million in annualized savings across our organization.  These cost savings will be derived from reducing our headcount, manufacturing footprint and overhead cost to lower activity levels across multiple geographies.  These cost down initiatives are designed to respond to near-term activity declines, as well as anticipated longer-term structural changes for the industry. Some of these actions are an acceleration of the broader structural changes we have outlined over the past two quarters in order to drive improvement in margins and a greater level of operating efficiency.  In addition to the acceleration of many of these initiatives, the early stages of this downturn have also encouraged the deployment of cost saving technologies. We have a growing number of customers around the world. One example of this is our capability in remote drilling and completion operations.  After establishing a successful remote drilling track record in the Marcellus Basin, the North Sea and China, we are having promising discussions with several customers by utilizing this technology going forward in an effort to lower operating costs.  Another example of pushing forward with new technology is our ability to run a virtual string test, a process that proved the engineering functionality and performance of our turbo machinery equipment.  We recently performed the virtual string test on the first compression train for Venture Global’s Calcasieu Pass project which use cutting-edge virtual technology to connect 21 people in five cities around the world to facilitate, run and observe the test.  Despite the downturn facing the industry and the cost out initiatives we are executing, our corporate strategy remains clearly focused on being the leading energy technology company to help the industry facilitate the energy transition.  Now more than ever, our customers will demand technology and solutions for increased productivity and efficiency both to achieve carbon reduction goals and to navigate the current macro environment.  This gives us an opportunity to engage with them on new commercial models focused on outcomes and new technical and operational solutions focused on improving efficiency and maximizing value. Alongside our commitment to energy transition, we will continue to execute on our portfolio evolution strategy to reshape the company over the coming years.  The current market environment reinforces our view on this strategic objective. Given the already challenged outlook for some product lines to generate financial returns, which will be compounded by the declining commodity prices and forecasted reduction in activity levels, we are accelerating the exit of non-core product lines in multiple countries around the world.  For example, in North America, we are shutting down our full-service drilling and completion fluids business and also seizing operations in a number of smaller commoditized completions-driven businesses.  Although the near-term focus on our portfolio or divestitures and some product line exits, we will continue to evaluate opportunities to invest or partner in areas that generate more stable earnings and higher returns.  These actions align with our objectives of transitioning the portfolio to a higher mix of industrial and chemical end-markets and capitalizing on energy transition-related growth opportunities.  Before I turn the call over to Brian, I want to emphasize that the Baker Hughes portfolio remains uniquely positioned. Our strong backlog of longer cycle projects and aftermarket services provide stability while our shorter cycle businesses encounter pressure from the dramatic declines in activity.  This balanced portfolio operates across the energy value chain and makes us uniquely position to navigate the challenging market environment the industry is currently facing.  With that, I’ll turn the call over to Brian. 
Brian Worrell: Thanks, Lorenzo. I will begin with an overview of how we are positioning Baker Hughes to navigate the challenges of this new macro environment. I will then walk through our results for the first quarter and provide an update on our outlook as we see it today for the remainder of 2020.  After protecting the safety and health of our employees, our focus is first and foremost to maintain the financial strength of the company as we manage through this downturn. We are committed to taking all necessary actions to right-size the business for the activity levels we expect to see over the coming quarters.  As a first step, we have approved a plan for restructuring and other actions totaling $1.8 billion and we recorded $1.5 billion of this amount in the first quarter. These charges are primarily related to the expected cost for reductions in workforce, product line exits in certain geographies and the write-down of inventory and intangible assets.  These actions are taking place across the business and our corporate functions, as we align our workforce with anticipate activity levels and remove management layers. We expect cash expenditures in this restructuring plan to total approximately $500 million and for the cash payback to be less than one year.  Given the projected magnitude of this downturn, and other structural changes that continue to evolve for the industry, we conducted a very thorough process to identify additional cost saving opportunities and further improvements to our overall operating efficiency.  We feel very confident in our ability to generate significant cost savings from these initiatives in a short period of time and believe that these actions position Baker Hughes to generate better returns and cash flows in the future.  These restructuring initiatives can be segmented into three major categories. The first, which is the largest are reductions in our headcount and facilities footprint to adjust for lower levels of activities. The majority of these cost savings will come from OFS and OFE.  The second category is the acceleration of broader structural changes we were already planning and then outlined over the past two earnings calls. These initiatives include accelerating our transformation efforts in global procurement and supply chain, shifting and consolidating our manufacturing base, and expanding the use of remote operations and multi-scaling on a global basis. The initial target of this plan was to drive significant operational and cost improvements in our service delivery capabilities over 24 months. Although volume levels will clearly be lower than when we initially developed this plan, we believe that we can still capture many of these cost savings.  Also included in this category are some of the product line exits that Lorenzo mentioned which accelerates the portfolio initiatives we introduced last September.  By exiting some of the smaller commoditized business lines in our portfolio, we will be rationalizing a small percentage of our OFS revenue base that is dilutive to overall OFS margins and returns allowing us to focus more on our core strengths.  We will continue to evaluate the portfolio as this market cycle unfolds acting where required to adjust businesses that do not meet a return to requirements.  The third category is simplification across the product companies in our entire organization. Through this process, we have identified opportunities to streamline certain functions and are taking meaningful steps in accelerating the flattening of our organizational structure.  Not only will these actions help to lower cost, but it should also lead to better informed decisions and faster response times to customer needs and changes in the ever evolving business environment.  Overall, we estimate that the annualized savings from these restructuring initiatives are around $700 million, which we plan to achieve by late 2020.  Next I will turn to liquidity and the strength of our balance sheet. Over the past two-and-a-half years, we have remained disciplined in order to prepare the company for potential periods of extreme volatility or a prolonged downturn.  Based on the current macro outlook, we will likely be facing both. Our goal for this downturn is to remain disciplined in our capital allocation, focus on liquidity and cash preservation and to protect our investment-grade rating while also maintaining our current dividend payout.  While some strategic opportunities may arise in this downturn, we will remain diligent and financially conservative. We continue to view our financial strength and liquidity as a key differentiator. Cash and cash equivalents totaled $3 billion at the end of the quarter, which is further supported by a revolving credit facility of $3 billion and access to commercial paper and other uncommitted lines of credit.  At the end of the quarter, we had no borrowings outstanding under the revolver to commercial paper program or uncommitted lines. Our next debt maturity is in December 2022. We have taken several actions to help the company navigate through this uncertain environment from a cash perspective. Our revised expectations for lowering net capital expenditures by over 20% versus 2019 is an important part of our plan.  We also continue to evaluate our research and development spend and we will be diligent to adjust where appropriate depending on market conditions. We will continue to relook at our cost position as this downturn evolves, adjusting our resource levels as market conditions dictate.  Now, I will walk through the total company results. Orders for the quarter were $5.5 billion, down 3% year-over-year. Remaining performance obligation was $22.7 billion, down 1% sequentially. Equipment RPO ended at $7.9 billion, down 3% sequentially and services RPO ended at $14.9 billion.  Our total company book-to-bill ratio in the quarter was 1.0 and our equipment book-to-bill in the quarter was 1.0. Revenue for the quarter was $5.4 billion, down 15% sequentially. Year-over-year, revenue was down 3% driven by declines in TPS, Digital Solutions and OFE, partially offset by growth in OFS.  Operating loss for the quarter was $16.1 billion. Our first quarter results included a number of one-time items including a $14.8 billion goodwill impairment, $1.5 billion in restructuring, inventory and intangible impairment charges and $41 million in separation-related expense. We also estimate that the Covid-19 pandemic had a negative impact to our operating income of approximately $100 million.  Both Digital Solutions and TPS experienced supply chain disruptions primarily in China and Europe that impacted volume levels. In addition, TPS, OFS and OFE were negatively impacted by travel and work-related restrictions, as well as rig and site shutdowns related to the pandemic.  Our efforts to perform customer-related activities remotely helped but could not offset the volume declines. Adjusted operating income was $240 million, which excludes $16.3 billion of impairment, restructuring, separation and other charges.  Adjusted operating income was down 56% sequentially and down 12% year-over-year. Our adjusted operating income rate for the rate was 4.4%, down 44 basis points year-over-year. Corporate costs were $122 million in the quarter. Depreciation and amortization was $355 million, flat sequentially and up year-over-year.  We expect depreciation and amortization to be approximately $20 million lower per quarter going forward as a result of the impairments we booked during the quarter. Tax expense for the quarter was $5 million. GAAP loss per share was $15.64. Adjusted earnings per share were $0.11, down $0.04 year-over-year.  Free cash flow in the quarter was $152 million. We delivered $183 million from working capital driven by strong receivables performance and progress collections.  Overall, we are very pleased with the cash performance in the first quarter. We continue to remain focused on improving our working capital processes and optimizing our cash performance.  As we look at the rest of 2020 for working capital, we expect to see lower levels of progress payments given the uncertain market outlook. We anticipate this to be largely offset by the improvements we have been driving in working capital processes across the franchise, as well as the release of working capital from lower expected revenues in OFS.  Now I will walk you through the segment results in more detail and give you our thoughts on the outlook going forward recognizing that the current environment is extremely dynamic with potential risk coming from the Covid-19 pandemic, as well as the significant weakness in oil and gas prices. Our expectations are based on the current weakness in commodity prices persisting for the rest of 2020 and we assume that economic conditions begin to improve in the third quarter.  Importantly, our expectations assume that some form of travel restrictions, strict social distancing and health and safety protocols remain in place until the middle of the year and gradually begin to ease in the second half of the year.  In Oilfield Services, the team delivered a solid quarter despite the dramatic slowdowns in activity in North America that began in March and multiple Covid-19 disruptions that developed internationally over the last few weeks of the quarter.  OFS revenue in the quarter was $3.1 billion, down 5% sequentially. North America revenue was down 2% sequentially, driven by declining rig count. International revenue was down 6% sequentially, driven by typical seasonality.  OFS revenue in the first quarter was modestly impacted by Covid-19 related disruptions in supply chain, as well as lower demand in the Asia Pacific region during the extended economic shutdown.  Operating income in the quarter was $206 million, down 12% sequentially with margins declining 55 basis points. Year-over-year margins were up 69 basis points. As I outlined earlier, we are making several significant changes to the cost structure of our OFS business.  As we look ahead to the second quarter, we expect the North America market to decline at least 50% as operators release rigs and frac crews at a rapid pace in response to the significantly lower oil prices.  Internationally, we expect to low-to-mid teens sequential decline driven by lower oil prices and disruption from Covid-19 as travel restrictions and safety protocols impact the number of rigs working in multiple regions.  We believe that the aggressive cost actions we are taking will help to soften expected margin pressures that believe that our overall OFS margin rate will be lower. As we look at the remainder of 2020, and try to assess the impact for our OFS segment, we expect U.S. E&P spending to decline more than 50% versus 2019.  As Lorenzo indicated earlier, our North America OFS revenues could track industry spending and activity trends more closely than they have historically as operators cut spending across drilling, completions, and production.  Internationally, we believe that spending is likely to decline in the 10% to 15% range and that our strong position in the Middle East should help our international revenues slightly outperform overall industry spending trends.  For margins, we believe that our cost actions can help to offset some of that activity pressures we are seeing in the market.  Next, I’ll cover Oilfield Equipment. The OFE team experienced challenges in the quarter from broader Covid-19 impacts, specifically in Europe where mobility restrictions and supply chain delays impacted performance. Orders in the quarter were $492 million, down 36% year-over-year driven by no major subsea tree awards in the quarter, offset by strong flexible orders in Brazil.  Revenue was $712 million, down 3% year-over-year. Revenue growth in subsea production systems was offset by declines in surface pressure control in North America and lower subsea services revenues.  Operating loss was $8 million driven by supply chain and mobility-related delays from Covid-19, lower overall volume due to seasonality and weaker results in our surface pressure control business. As mentioned earlier, we have implemented a number of restructuring projects in OFE to align our workforce and capacity with lower expected activity levels.  For the second quarter, we expect revenue to decline sequentially as growth in flexibles revenue was offset by declines in surface pressure control and subsea services. We also expect slower backlog conversion in SPS due to Covid-19 supply chain disruptions. This lower revenue and most of our cost actions not impacting OFE into the second half of the year, we expect sequential operating income to also decline modestly.  As we look at our OFE segment for 2020, we expect revenue in SPS and flexibles to still grow as the team executes on current backlog. While surface pressure control and subsea services will likely decline driven by broader market dynamics. Overall, we estimate that this likely results in margins below 2019 levels.  Moving to Turbo Machinery. Our TPS team delivered a strong first quarter, especially given the exceptional circumstances over the past few months in Italy, where as you know, TPS has the majority of its operations. We received essential business designation from the Italian government and have been able to maintain operations through the quarantine period due to our importance to the oil and gas markets.  While all of our plants are operational, we have not been running at full capacity and the situation remains very fluid. Orders in the quarter were $1.4 billion, up 10% year-over-year. Equipment orders were up 8% year-over-year and equipment book-to-bill was 1.4. We saw strong orders in our on/offshore production segment booking a number of FPSO awards.  Service orders in the quarter were up 11% year-over-year, mainly driven by growth in installations, upgrades and contractual services.  Revenue for the quarter was $1.1 billion, down 17% versus the prior year. Equipment revenues were down 24%, driven by supply chain delays, primarily related to Covid-19 and business dispositions. Services revenue was down 13% versus the prior year due to Covid-19 mobility-related delays.  Operating income for TPS was $134 million, up 13% year-over-year, driven by product line mix and cost productivity which more than offset the impact we saw from Covid-19. Operating margin was 12.3%, up 326 basis points year-over-year.  For the second quarter, TPS faces continued volatility given the situation in Italy and the mobility-related challenges, as well as the overall macro backdrop, particularly for our shorter cycle service businesses. Based on these factors, operating income will likely decline on a sequential basis.  As we look at the rest of 2020 for TPS, we face a number of challenges, but expect the business to show resilience due to the record backlog built over the last two years. We expect growth in equipment revenue.  However, we expect that the lower oil and gas prices and COVID-related issues could impact service revenues versus prior expectations. Based on these factors, we expect TPS operating income to be flat to modestly lower than 2019 levels.  Finally, Digital Solutions was heavily impacted by Covid-19 as a significant portion of both the customer base and supply chain was offline during the quarter. The team executed incredibly well given the unique and challenging circumstances.  Orders for the quarter were $500 million, down 24% year-over-year, driven primarily by Covid-19-related demand disruptions. We saw declines in orders across all end-markets, most notably, Aviation, automotive and power.  Revenue for the quarter was $489 million, down 17% year-over-year, primarily due to lower convertible orders and volume slippages driven by Covid-19. The Waygate Technologies and Bently Nevada product lines were most impacted, as multiple deliveries in Europe, North America and Asia Pacific were delayed as shutdowns spread.  Operating income for the quarter was $29 million, down 57% year-over-year driven by lower volumes related to Covid-19. In response to the disruption caused by the pandemic and current macro environment, we have taken steps to furlough employees in some countries and we are implanting structural changes through our organization to operate more efficiently at lower cost.  That said, we still expect near-term results in DS to continue to be impacted by Covid-19 disruptions as well as the weak economic outlook and the oil and gas environment. As a result, we expect revenue and operating income to be flat to slightly down on a sequential basis in the second quarter.  For the full year, we expect revenue declines in the double-digit due to the current outlook for weak economic activity weighs on results.  With that, I will turn the call back over to Lorenzo. 
Lorenzo Simonelli: Thank you, Brian. Before we move to Q&A, I wanted to spend a few moments to recognize and the thank the Baker Hughes team for what they are doing to take care of each other, our customers, and the communities around them impacted by the Coronavirus pandemic. We continue to support our communities with great acts of courage and kindness.  Baker Hughes global additive teams in the U.S., Germany, Italy, the UK, and Saudi Arabia have been working collaboratively for weeks with local partners to identify, test and now safely deliver 3D printed parts critical for protective gear needed by first respondents.  At our additive manufacturing facility in Talamona, Italy, additive experts have started production of 3D printed components, the respirators, such as valves and adapters. Kits for respiratory masks have already been distributed in Italy and more kits will be produced in partnership with Baker Hughes additive manufacturing labs in both Florence, Italy and Montrose, Scotland.  We are committed to these efforts and looking beyond our business to apply the highest and best use of our unique 3D printing capabilities to support the communities around us. All design time, labor and parts are being donated. These efforts are inspiring and I am extremely proud of our team in this difficult time. We are proud to be part of a community of technologists who have come together to help contribute to mitigate the impact of this worldwide pandemic.  Finally, I want to highlight that we have a solid backlog of longer cycle projects, a balanced portfolio and our strong balance sheet, Baker Hughes remains uniquely positioned to navigate the challenging market environment.  With that, let’s open the call for questions. 
Operator: [Operator Instructions] Our first question comes from James West with Evercore ISI. 
James West : Hey. Good morning, gentlemen. And thanks for all the Baker Hughes is doing for first responders. 
Lorenzo Simonelli : Thanks, James. 
Brian Worrell: Hi, James.
James West : So, Lorenzo, this downturn, I think is different for Baker Hughes than the previous downturns. You are in a much different situation. You are a much larger company. You have better systems and you are not hamstrung or hampered by the – by some M&A type of activity.  Could you perhaps – I know, you got into some detail in your prior comments, if you have to describe how quickly, how swiftly and how much ability you have to respond this time versus what Baker has seen in the past? And how the past is really not relevant in looking at how Baker might perform this on? 
Lorenzo Simonelli : Yes. Sure, James. And, as you say, a lot of change for Baker Hughes since the last downturn at 2015, 2016 and we believe that it’s not a good reference for our current business as it is. As you recall, in 2015, 2016, Baker Hughes could not react to market conditions due to restrictions under its proposed merger with Halliburton.  Since the creation of the new Baker Hughes business in July 2017, we have better visibility, improved processes and systems in place to react quickly and we mentioned some of that in the prepared remarks. Maria Claudia and the OFS team have been executing on business transformation during the past years and we are starting to see the benefits of that in the processes.  Also our engagement, as you know a big focus was on being close to the customers and especially in OFS, that’s improved considerably. So we are in continuous dialogue with the customers helping to improve efficiencies and also looking at new commercial offering that we can apply at this time.  I’d also like to remind you that, the portfolio of Baker Hughes now is very different, as well. We are not present in the pressure pumping North America and our mix is also of longer cycle businesses as you look at TPS and Oilfield Equipment and we have an IPO of approximately $23 billion.  Overall, I’d say, I am pleased with our positioning. We’ve got a strong balance sheet and liquidity position and team is ready for the challenges ahead. 
James West : Okay. That’s good to hear. And then, Lorenzo, big shift to remote operations during the first quarter. I think, probably some of this is going to be permanent in nature. Could you talk about how Baker is enabling this shift? And do you read with me that this could be somewhat semi-permanent more remote operations, getting more people off the wells and also rig site and creating better HSE centers? 
Lorenzo Simonelli : We are doing some. I think you are right and one of the outcomes of the current environment in COVID is that we are having more and more conversations with our customers that are interested and the kinds of technology and capability that we’ve been offering them. And there is an increased utilization of remote drilling as well as virtual operations.  We think that these benefits extend beyond just the current health and safety factors that are beneficial at this time. But they also help operators really look at more efficient and reduce non-productive time. And as we mentioned in OFS, the rig drilling has actually been – of the drilling performed in the first quarter was remote drilling and that’s the highest percentage to-date.  We are also starting to see in TPS. You heard us talk about virtual string test that was conducted with Venture Global on the Calcasieu Pass project for the first time. We’ve done this remotely and we also recently completed a virtual compression test for the LNG Canada. So, we do expect that our technology focus is the right area and we will continue to see it applied as we go forward with the customers. 
Brian Worrell: Yes. And James, I would add that actually we’ve been doing a lot in remote operations and have a lot of remote capabilities in TPS for some time. We’ve been using smart helmets for about four to five years now and that’s basically PPE equipment that has integrated video, audio and Google glass.  So, an FE can actually project what’s going on into the machine to pull up documents and see in a Google glass and can access experts in that technology, no matter where they sit in the world. We are migrating that to iPhone and iPad to make it more available for our FEs.  And then, we also have been using virtual reality for sometime in training and are transitioning that into actual field work where we can bring RFEs, customer employees into a virtual reality environment with people sitting in Florence or Houston or wherever they are in the world and do block these before they repair things and actually solve problems quickly.  So, I think this downturn is accelerating that and we got, like I said, quite a bit of experience there. So I think there is a huge opportunity for us in the industry. 
Operator: Thank you. Our next question comes from Angie Sedita with Goldman Sachs. Your line is open. 
Angie Sedita : Thanks. Good morning, guys. 
Lorenzo Simonelli : Hi, Angie.
Brian Worrell: Hi, Angie.
Angie Sedita : Hi. So, I really do appreciate Brian, all the color you gave and it’s quite helpful and so around Oilfield Services really did have better than expected revenues and margins in Q1 given the markets and in light of the cost-cutting efforts, can you give us additional color around the margin outlook for 2020? Anything else you could add to your prepared remarks and decremental margin? 
Brian Worrell: Yes. Angie, look, I think Maria Claudia and the team had been working to improve process and the cost position of OFS. As we’ve outlined, in calls and meetings and delivering 18% decrementals in the quarter was good performance in this environment. Look, we are continuing to focus on cost efficiency and I think we can deliver strong margins in this environment despite all headwinds that we see.  So, look, as Lorenzo mentioned, 15. 16 is really not a good reference for how we think that what that business is going to perform now. We got better systems in place. We got better process in place to combat this and look, we’ve already started taking actions. Maria Claudia and the team got ahead of this and started taking the restructuring actions in March. So early on.  So, look, difficult to give you a definitive decremental going forward. I can tell you that our goal is really for our cost out actions to offset the impacts of any pricing pressure that we may see during this particular downturn and keep decrementals more in line with what historically been consistent with activity level declines.  Now, obviously, in the second quarter, that may not be the case, because the volume decline is coming faster than you can take some of the cost out and there is lot of uncertainty going on this quarter, particularly in North America. But I’d say, for the full year, feel good about the decrementals being in line with historical activity declines.  And I’d say, look, from an overall margin standpoint, we believe that margins will be – will likely be down significantly. But I do think that the cost out actions that we are taking will dampen the impact of the volume declines. So, through this situation, Angie, Maria Claudia and the team are working and we’ll continue to monitor the situation and see if we need to take more action. 
Angie Sedita : Perfect. That’s helpful. And then, if you could also add on TPS and just talk about the servicing part. That I believe the revenue, I think 60% of service and 40% of equipment and obviously the CSAs are stable. But can you talk about the other moving pieces and just the timeline of the declines. Is it more immediate or kind of ratable through the year? Any thoughts on 2021?
Brian Worrell: Yes. You know, Angie, I’d say in general, I would expect the services revenue to come under some pressure this year, in addition to I think customers cutting budgets because of everything going on with commodity pricing. The Covid-19 restrictions are also causing some delays in equipment deliveries and pickups.  There is some logistics back outs and those kind of things and in some instances, that’s restricting mobility of our field engineers. So, there will be likely some immediate impact related to some FE travel. And as you mentioned, about 60% of the revenue in TPS is related to services and you pointed out contractual services primarily on LNG equipment.  I would expect those revenues to be relatively stable. There could be a modest decline with customers start to try to move around maintenance events and minimize some OpEx. But, as you recall, we got guarantees around these contracts. And so, we work very closely with the customer and really drive when those outage don’t happen.  There is some room to move them around a little. But I feel pretty good about the visibility there and that we will continue to execute on those within a short window. The other area transactional services, it’s likely to be negatively impacted by the downturn as these are immediate things that operators can do to save cash, have more control over moving servicing around in their spare parts inventory.  So, I think you could see that impacted more than contractual services. But one thing I will say Angie, going into this downturn versus 2014, customers don’t have as much stock on their shelves as they did going into that downturn. So I don’t expect to see a large new stocking like we saw sort of in 2015.  The other area of services is around upgrades and installations and I think they could hold up reasonably well while we could see some shorter cycle business decline for services for pumps and valves. Again, as customers look to conserve cash in the near-term.  So, pulling all that together, Angie, the mobility-related things I think you’ll see more of an immediate impact and then in transactional services, you could see that more spread throughout the year as customers work through their outage schedules and stocking levels.  But, over the long run, feel good about this service franchise that we have and the team is working diligently to support customers and some of the remote technology I mentioned and the question that James asked, we are certainly helping. 
Operator: Thank you. Our next comes from Chase Mulvehill with Bank of America. Your line is open. 
Chase Mulvehill : Hey. Good morning, gentlemen. Hope everybody is safe. 
Lorenzo Simonelli : Good morning. Thanks, Chase. You too. 
Chase Mulvehill : Thank you. So, I guess, firstly I want to hit on those really kind of free cash flow. Obviously, free cash flow was strong as seasonally in the $152 million 1Q. If we think about that free cash flow profile, obviously, a lot of that was coming from strong operating cash flow, which approach almost $500 million in 1Q.  This is a much better cash conversion and it – than we typically see in 1Q. So, may be if you can kind of talk through really what drove this. How much of that was prepayments versus kind of underlying better cash conversion? 
Brian Worrell: Yes, you know, Chase, I’d say, look, I am really happy with the performance on cash in the quarter. I’d say, we did see some progress collections favorability come through. But nothing extraordinary and we planned on that. I’d say, it’s improvement in process across the board and our collections processes as well as overall inventory management.  I think, again, we talked to you when we first came together about the work we needed do to improve cash processes and you are starting to see the benefits of that come through.  Look, I’d say for the total year and how I look at free cash flow, I think, given the visibility from the long cycle businesses and the service franchise, I think we can generate modest free cash flow for the year despite the $800 of cash restructuring and separation costs that we’ll incur from the cash standpoint.  And again, that’s $300 million that we’ve talked about previously for the separation and restructuring projects that we had ongoing, as well as the $500 million that we launched here in the last few weeks. So, if you exclude that $800 million capital allocation decision for restructuring and the GE separation, that gives you a good view of the operating strength of the company from a free cash flow standpoint.  Other thing you know, I’d point out to is that we do have some leverage. We talked about cutting CapEx more than 20% versus last year. I think depending on where activity levels play out over the rest of the year, Chase, we could cut more. And then cash taxes are likely to be more versus 2019 and where we thought they’d be coming into the year.  So, I think, working capital, again, good process in place. I would expect the progress collections to move around a bit just given what we are seeing from some of the larger orders. But I would expect the impact of lower progress collections to be largely offset with the improvements that we’ve been driving and things we got in place to continue to drive improvement in working capital and then the lower working capital related to lower OFS revenue.  So, again, pleased with what the teams have done. We think this business can generate 90% free cash flow conversion over time and the progress you saw on the first quarter is a good indicator of that. 
Chase Mulvehill : Yes, that was – appreciate the color there. But I am kind of switching gears a little bit over to LNG. Lorenzo, you touched a little bit on kind of some of the near-term macro headwinds and - that you are facing. But could you talk about orders this year probably going to be a pretty skinny year of orders.  But could you talk about could you talk about your medium to longer term outlook for orders and then also, some – I’ve gotten a few questions about the risk of LNG backlog – of your LNG backlog. So, maybe if you could tell to the risk around, did you see your backlog and if there were any cancellations last downturn?
Lorenzo Simonelli : Yes, Chase. As we mentioned, the uncertain environment is likely to result in fewer LNG FIDs in 2020 as operators delay some of the sanctioning decisions in order to better assess the economic and commodity price outlook. Hard to comment on any special specific projects.  But we are already seeing some larger projects be delayed by operators. Right now, where we still see a couple of smaller LNG projects likely happening this year and perhaps one to two medium to large-scale projects still having a small chance of FID later this year.  Fundamentally, from a macro perspective, medium to long-term growth outlook for LNG remains strong and we still expect global demand to be in the 550 to 600 MTPA range by 2030.  And as you know, to produce that 550, 600 MTPA by 2030, we are going to need to have approximately 650 to 700 MTPA of nameplate capacity in place, which represents still significant growth from today's 460 MTPA. So, again, macro perspective, still feel good and we are continuing to stay close to our customers. And again that we'll see some FIDs going through this year.
Brian Worrell : Yes. And Chase, specifically on the backlog, look, during the last downturn, we didn't see any cancellations in LNG projects that had FID-ed with us. And I was going through our history in LNG and can't recall any cancellations once the project has been FID-ed with us. The one thing we have seen, you've seen some schedules move around.  There is lots of things that can make that happen, but again, not significantly. I wouldn't be surprised if we didn't see some schedules move around a little bit. But I feel very good about the backlog and the projects that we are executing on right now. And obviously, we stay very close with our customers and there has been no indication so far of any worries about projects that have FID-ed and how they are progressing.
Operator: Thank you. Our next question comes from Sean Meakim with JPMorgan.
Lorenzo Simonelli : Hey Sean.
Sean Meakim : So, in North America, your business mix is pretty production-oriented. So, that's typically more stable to drilling and completions, as you noted. But, we have these store challenges creating an issue for producers in the next few months at a minimum.  I mean, maybe 3 million to 5 million barrels a day could have to come offline for some period. We don't have much historical precedents here. Just curious how that could impact your lift in chemicals businesses in the next couple quarters?
Lorenzo Simonelli : Yes, Sean. Good to hear from you and we feel good about our competitive positioning in North America in artificial lift and chemicals. As you mentioned though, in the current environment, we believe that the sharp decline in production and also in potential production shut-ins will impact the ESP and the chemicals business.  And E&Ps are looking aggressively to conserve cash and cutting back on spending across all product lines. And so, as we look at the next one to two quarters, you'll see some impact there. However, I would also say that, if there's a recovery in place, you'll see our production-driven businesses recovering quickly and also as operators look to bring back wells, likely they'll need more chemicals and also ESPs from a stimulation perspective.
Sean Meakim : Right. Okay. That makes sense. And then, haven't spoken a lot on digital. Obviously, a challenging environment here in the last quarter, as well as the one upcoming. Pretty high decrementals in that business, but also should be pretty high incrementals. Just curious, just about how you think about that cadence for revenue and margins as we go through the year? That’d be helpful if you don't mind.
Brian Worrell : Yes, Sean, you're right. You do see high decrementals and high incrementals. I mean, the gross margins in the Digital Solutions business are really strong. And you simply can't take out cost fast enough as volume comes down, especially around R&D, selling, G&A.  So, we are taking some actions there to – as I mentioned, we are furloughing some employees as volume is lower and we anticipate that it will continue to be lower with economic challenges and the struggling GDP we are seeing around the world. So, look, I would expect Digital Solutions to look a lot like the first quarter in the second quarter, given what we are seeing from a demand standpoint and the inactivity around the world. But it will likely bounce back quickly as you start to see folks getting back to work and economic activity picking up. And as you point out it should come through with really strong incrementals.
Operator: Thank you. Our next question comes from Bill Herbert with Simmons. Your line is open.
Bill Herbert : Good morning, Brian and Lorenzo, with using your formulation with regard to a blend of North American and international spending contractions for Q2. I mean, at least on my math, that kind of results in a 25% to 30% sequential revenue contraction. Given the violence of that contraction, would OFS do well to generate breakeven margins?
Brian Worrell : Yes. Look, I think if you look at the formulation that you have there, I mean, you know there is always some variability around the edges there. But I do expect significant revenue decline in the second quarter.  The other thing, Bill, that I would remind you of is, we've talked about the cost out that Maria Claudia has already been executing. And I do think that will dampen some of the impact of what we are seeing from the downturn here.  I'd say, probably where your math that is probably a little more than what I am seeing today based on the level of activity we have internationally, how strong we are in the Middle East.  So, look, I think things are moving around quite a bit, but I feel good about how Maria Claudia and the team are addressing the current situation.
Bill Herbert : Okay. That's helpful, thanks. And then Lorenzo, I hear you with regard to the long-term secular outlook for LNG and TPS and understanding that we are not in this bunker of acute crisis forever.  But assuming that effectively capital allocators around the world are going to be very cautious for the balance of this year. Is it reasonable to expect that TPS orders for the year are down in the vicinity of like 50% year-over-year? Or is that too harsh?
Lorenzo Simonelli : Look, again, I think, as you look at where we are seeing LNG, as well as where we're seeing the total TPS, the current macro environment is obviously uncertain. We continue to speak to the customers on a regular basis and we are predicting some of these projects to move forward even though the timing is difficult to see.  If you look at our orders in TPS, a large component of our orders are service orders, which we expect those to be pressured in line with the service revenues. As you can imagine, we have equipment orders and a wide range of outcomes, offshore/onshore production, also, refinery, petrochemical.  Given the service order outlook and also the equipment, we think the $0.50 is a little harsh and we would expect to do better than that. If you look at the prior downturn, our floor is better than that from a standpoint of orders. And I'd also say, we are still in a lot of conversations with our customers relative to potential FIDs that go forward.
Brian Worrell : Hey, Bill, I would say, you could see orders down 40% based on what we have seen in prior downturns and in conversations with customers. But again, things are quite fluid right now. And we're staying close to the customer. So, we'll update you as we know more.
Operator: Thank you. Our next question comes from Scott Gruber with Citigroup.
Scott Gruber : Yes, good morning.
Lorenzo Simonelli : Hey, Scott.
Brian Worrell : Hey, Scott.
Scott Gruber : So, when you are working through the restructuring of your fixed costs, especially items like facility closures, what is the new normal environment that you are contemplating on the other side of this downturn?  Maybe, if you could touch on that through the usual market indicators. So, thinking about U.S. rig count, it sounds like you are thinking about that being weaker on the other side. But potential magnitude of international E&P spending recovery, offshore tree orders, when you reset your fixed costs, what you are envisioning for these three years to four years out?
Lorenzo Simonelli : Yes. I think, first of all, it's obviously a dynamic situation and things are unfolding. As you look at what's happening with COVID and some of the longer-term impacts, first of all, you are starting to see more of the remote operations, as we said, being utilized. That's obviously from an efficiency perspective and also cost reduction.  We are continuing to deploy more technologies out there, which will not result in us bringing back some of the people that are involved. And also, if you look at the standpoint of the way in which we work, the number of facilities we have and also people working from home as opposed to being in the office. So, I think these are elements that we are working through, and we are still – we think we've taken the right restructuring actions and much of what, again, is restructured won't necessarily come back. And that's sort of the aspects we are working through at the moment.
Scott Gruber : Got it. 
Brian Worrell : And I think, Scott, we stress-tested quite a few scenarios and do feel like that we prepared for scenarios that are worse than what we've outlined here as we looked at our overall cost out, and how we think the industry is going to perform. And I think that gives us some flexibility as we see activity maybe come in stronger than we are anticipating.  But, as Lorenzo points out, I think it's a bit early to call exactly how this plays out over the medium term. But, rest assured, we are staying really close to our customers and the market and we'll adjust accordingly.
Scott Gruber : Understood. There is a lot of capacity out there right now. A quick follow-up. Roughly, how much of your 1Q OFS revenue is targeted to be exited?
Brian Worrell : It's a small amount. It's lower than 5% and the work that the product lines that we are exiting will be overall margin rate positive and cash flow positive for OFS in the company.
Lorenzo Simonelli : And I'd just say, this is very much in line with the strategy we've laid out to focus on margin rate accretion and also return on invested capital. So, you can see the decisions that we've made are really just accelerating that at this time with the North America land drilling and completion fluids that we are moving out of, as well as some of the smaller commoditized completions-driven activities.
Operator: Thank you. I would now like to turn the call back over to management for any further remarks.
Lorenzo Simonelli : Just like to thank everybody for joining the call. Stay well and stay safe. And we look forward to speaking to you again soon.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may all disconnect. Everyone have a great day.